Presentation: 
Operator: Good day, everyone, and welcome to the Equifax Third Quarter Earnings Release Conference Call. (Operator Instructions) At this time, I’d like to turn the conference over to Mr. Jeff Dodge. Please go ahead, sir. 
Jeffrey Dodge: Good morning, and welcome to today’s conference call. I’m Jeff Dodge, Investor Relations. And with me today are Rick Smith, our Chairman and Chief Executive Officer; and Lee Adrean, Chief Financial Officer. Today’s call is being recorded. An archive of the recording will be available later today in the Investor Relations section of the About Equifax tab of our website at www.equifax.com. During this call, we’ll be making certain forward-looking statements to help you understand Equifax and its business environment. These statements involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from our expectations. Certain risk factors inherent in our business are set forth in filings with the SEC, including our 2009 Form 10-K and subsequent filings.  Also, we will refer to a non-GAAP financial measure, adjusted diluted EPS from continuing operations attributable to Equifax, which excludes the impact of acquisition-related amortization expense. Please refer to the non-GAAP reconciliation section included in the earnings release and posted in the Investor Relations section under About Equifax tab at our website for further details. Now I’d like to turn it over to Rick. 
Richard Smith: Thanks, Jeff, and good morning, everyone. Overall, we had a very strong performance in the third quarter. It was broad-based, which was very important across all business units. They met or exceeded our expectations that we outlined to you during our second quarter call.  As I continue to meet with our customers, it’s increasingly clear to me that our strength of our business model combined with the innovative solutions we’re delivering and the traction we’re developing as we leverage our unique and diverse data assets are enabling our customers to manage their business more effectively and profitably. Each of our business units have strong leaders and deep commitment to executing on the strategic initiatives, and the performance they delivered this year illustrates just that.  First, some numbers. Total revenue for the quarter was $473.8 million, up 11% from third quarter 2009 on both a reported and local currency basis and well ahead of our expectations. Operating margin was 23%, up 30 basis points from the second quarter of 2010 on revenues that were up 3% sequentially as well. Adjusted EPS was $0.60, up from last year and second quarter, driven by strong execution across all of our strategic initiatives. All of our business units are executing well against our strategies. They’re delivering on key objectives, enhancing relationships with our customers through innovative and unique solutions.  On the business units, USCIS has accelerated its year-over-year growth each quarter this year. In fact, all the business units within USCIS have improved on their quarterly year-over-year growth rate in 2010. Along with this growth, USCIS has expanded its operating margin each quarter in 2010.  Long-term opportunities in International continue to be very attractive. We’ve developed aggressive and compelling strategies and continue to invest in all of our existing geographies to build a strong market position for long-term growth. Obviously, that investment has an impact on the margin in International short term, short to medium term.  In The Work Number, healthy double-digit growth across each of the key customer sections enabled TALX to deliver solid double-digit growth. The acquisition of TALX has been transformative for Equifax. Even today, we continue to find new opportunities to expand our coverage and grow active records in our database, as well as broaden our service offerings as an HR solutions provider, which further strengthens relationships with our data providers for The Work Number.  Our PSol business, North American Personnel Solutions, continues to leverage new product development and sharpen its focus on securing long-term consumer relationships. These relationships are based on high value-added services, educational content to help consumers become smarter in the management of their financial well-being and better execution on the fundamentals, all of which grow increased conversion, lower churn, higher average revenue per user and solid growth for the quarter.  PSol is also testing and evaluating various combinations of product messaging, offer types, pricing and affiliate mix to drive increased growth in subscription customers.  Finally, double-digit growth in North America Commercial was driven by strong growth in our U.S. operations, including both risk and marketing applications.  Shortly after the quarter closed, as you now know, we broadened our I.D. management product offering and expanded our presence in the government and healthcare sectors with the acquisition of Anakam. One of the core product offerings in our Technology and Analytical Services unit we call TAS is I.D. authentication. We were the innovators in this space and have developed a very strong presence with financial institutions and telecommunication companies in the U.S. as well as some of our international markets such as the U.K.  In addition to rigorous I.D. authentication, there’s an increasing demand for risk-based verification solutions that support customers’ needs for secure content delivery. Anakam is the leading provider of large-scale, cost-effective, multi-factor ID verification solutions. Traditional two factor verification, such as hard tokens, smart cards, USB devices or even biometrics, as you know, are expensive to deploy and maintain, particularly when the end user is a consumer, making the Anakam offering very unique and cost-effective. This acquisition enables us to offer a full life cycle of I.D. management solutions while deepening our relationships with those market sectors which have the greatest needs for these solutions.  Also during the quarter, we added another significant digital marketing opportunity through a partnership between IXI and comScore, a leading provider of online audience measurement services for Internet advertising and e-commerce activities. comScore will be utilizing our data and technology to develop a new, co-branded solution designed to optimize ad placement for the financial services sector to more effectively reach their targeted audiences based on estimated income assets, discretionary spending or ability to pay. We will become comScore preferred data partner for its targeting and ad-effective solutions in the financial institution section. If you’ll recall on the last earnings call, we talked about our presence expanding in the digital market with a large provider, a very exciting marketplace for us long term.  Relationship with our customers continue to be strengthened by the analytical tools and decisioning platforms delivered through TAS, Technology and Analytical Services. Our analytics are increasingly used by customers for their decisioning needs. During the quarter, scores delivered from Equifax models increased 23% from the same period in 2009, while at the same time; the delivery of scores from models developed by other vendors declined 4%. Over the past couple of years, we’ve seen our customers’ decisioning needs become more complicated, driven by increased uncertainty surrounding the economic and regulatory environment. These needs range from developing an overall portfolio strategy to decisioning each individual consumer transaction. This creates enormous opportunities to leverage our diverse data assets and increase investment in Technology and Analytical Services. The acquisition of Anakam is a great example of how we can capitalize on these opportunities and further monetize our data and technology assets.  Innovation continues to be an important strategic initiative for us and is helping us win in the marketplace and with our customers. Year-to-date, we have launched 55 new products and continue to meet our revenue targets and our vitality target we’ve talked to you about now for four or five years.  As a thought leader, we’re continuing to develop analytical tools in business intelligence to assist customers as they develop their strategies for addressing emerging challenges and opportunities. These initiatives will give us greater insight in the client strategies and priorities, while further leveraging our data and technology capabilities, including extensive integration of Equifax data alongside client data to develop a complete customer view. With our technology, we can link Equifax data assets now with a client’s customer information to give them true one-on-one decision-making solutions.  We’re also investing heavily in developing unique consumer keys that can be used to retrieve data consistently and accurately. All of our databases will soon be linked to the others’ proprietary key to ensure that all of the relevant information for specific consumers is accessible to all of our clients’ decisioning needs. That will allow us to develop more products faster and more cost-effectively than we have ever been able to do in the past.  Finally, we’re building new predictive modeling tools that significantly improve decision-making. These new tools incorporate advanced analytics developed through our deep understanding of diverse data assets and the use of advanced statistical techniques to reduce risk in our clients’ decisioning activities. Clearly, our investment in innovation and talent we have recruited, the investments we’ve made and the commitments to our customers during these difficult times has positioned us very well for new and exciting opportunities.  As we enter the final stretch of 2010, we expect to end with a strong quarter in the fourth quarter. We have improved our strategic focus by divesting non-strategic assets, which generated funds that were reinvested in new product innovation, strategic M&A and return to shareholders in the form of share buyback.  I’ll give you a quick look at some of the business units’ expectations for the fourth quarter. USCIS revenue is expected to be up at least 10% when compared to the fourth quarter of 2009, another strong quarter. We expect International revenue, when excluding any impact of foreign currency translation, to be up in the low single-digit range when compared to fourth quarter of 2009. TALX, in the fourth quarter, we expect to deliver double-digit revenue growth year-on-year. Personal Solutions growth should be in the mid-single-digit range year-on-year. And North America Commercial Solutions is expected to deliver high single to low double-digit growth in the fourth quarter, again when compared to the fourth quarter of 2009. So we’re expecting another strong quarter as we exit 2010.  Lee, take over to give the details please on financials? 
Lee Adrean: Thanks, Rick, and good morning, everyone. This morning, all financial information I will be discussing is presented on a GAAP basis except as otherwise noted and excludes all of our discontinued operations. You should also refer to the Q&A and non-GAAP reconciliations attached to our earnings release for additional financial information.  All of our business units delivered strong performance in the third quarter. We’re making good progress on our growth initiatives, and continued effective expense management has allowed us to invest in future growth opportunities while continuing to earn attractive margins.  Now for the details. Compared to the same quarter of 2009, consolidated revenue of $473.8 million was up 11% on a reported and local currency basis. The acquisition of IXI and Rapid Reporting a year ago added approximately four percentage points of growth in the fourth quarter.  On a GAAP basis, the operating margin in the third quarter was 23.3% compared to 23.5% in the third quarter of 2009. Excluding the amortization of acquisition intangibles, adjusted operating margin for Q3 2010 was 28% compared to 28.2% for the same quarter in 2009. Diluted earnings per share from continuing operations attributable to Equifax was $0.49 per share in the quarter, up 11% from $0.44 in the third quarter a year ago. Excluding the impact of acquisition-related intangible amortization, adjusted earnings per share attributable to Equifax was $0.60, up 13% from $0.53 in the third quarter of 2009.  We reduced total debt by $60 million during the quarter and $167 million year-to-date. During the quarter, we also repurchased 1.7 million shares of stock for $51.7 million. As of quarter end, our remaining board authorization for share repurchase was $155 million.  Moving to the individual business units. Our U.S. Consumer Information Solutions revenue was $194 million, up 12% from the same quarter in 2009 and generously ahead of the expectations we communicated during our second quarter earnings release, primarily driven by success in the mortgage market. Online Consumer Information Solutions revenue, which excludes discontinued operations, was $128 million, up 2% compared to 2009. Consistent with our improving revenue trends, our year-over-year online credit decision volume trends have improved every quarter this year from being down 15% year-over-year in the first quarter to down 8% in the second quarter to down only 1% in our most recent quarter. For the quarter, average revenue per transaction was up 1%, primarily driven by sector mix shift. Volume trends improved for the second consecutive quarter, as online transactions were up 7% sequentially from the second quarter.  Mortgage Solutions revenue of $32 million was up 43% compared to the third quarter a year ago. The Mortgage Bankers Application Index for the quarter was up 39% from a year ago.  Consumer Financial Marketing Services revenue was $34 million, up 30%. IXI’s performance exceeded our original acquisition assumptions during the quarter. And our Credit Marketing Services unit delivered modest year-over-year growth for the first time since 2007, driven by growth in pre-screening services and portfolio review.  The operating margin for U.S. Consumer Information Solutions was 37.2%, up 100 basis points from the third quarter of 2009.  Our International Business unit’s revenue was $122 million, up 7% from the third quarter of 2009. In local currency, revenue was up 5% from a year ago, in line with our expectations. By region, Latin America’s revenue was $59 million, up 13% in U.S. dollar terms and 8% in local currency when compared to a year ago. Europe’s revenue was $35 million, down 4% in U.S. dollars but up 2% in local currency when compared to the same period in 2009. Both the U.K. and Spain delivered positive local currency growth. Canada Consumer information revenue was $28 million, up 9% in U.S. dollars and 3% in local currency when compared to the same period in 2009.  For International in total, softness in online credit services, reflective of weak consumer loan activity in many of our geographies, was offset by expanded sales in analytical, technology and marketing services. International’s operating margin was 25.2%, down slightly from 25.4% in the second quarter and 27% in 2009. The lower margin reflects the reduced proportion of online services revenue currently in our product mix.  TALX revenue was $99 million for the quarter, up 19% from the third quarter of 2009 and well ahead of the expectations we communicated during our second quarter earnings call. Growth in The Work Number continues with revenue of $55 million, up 49% over the prior year. Double-digit revenue growth in collections, mortgage, pre-employment and government sectors and our employment-related transaction processing services, plus the impact of our acquisition of Rapid Reporting, all contribute to this strong performance.  Tax and Talent Management Services revenue was $44 million, down 5% compared to last year, driven by double-digit declines in unemployment claims activity from the elevated levels a year ago, which was partially offset by double-digit growth in Talent Assessment. The TALX operating margin was 22.9%, up from 21.4% in 2009.  North America Personal Solutions revenue was $40 million, up 7% and ahead of the outlook we gave during our Second Quarter Earnings Call. Direct-to-consumer subscription revenue was up 10% year-over-year, driven by an increase in average revenue per subscriber as well as lower churn. New subscription-based products, such as Equifax Complete with high-value features continues, to drive up the average revenue per subscription and improves our overall operating effectiveness.  Operating margin was 31.9% for the quarter, up from 27.3% a year ago, driven by improved productivity and lower marketing expense.  Finally, North America Commercial Solutions revenue was $18 million, up 14% on a reported basis and 12% local currency, driven again by strong double-digit growth on our U.S. operations. Revenue was also ahead of the expectations we communicated during our Second Quarter Earnings Call. Revenue growth in the U.S. segment was primarily driven by transaction volume, which was up 12% for the quarter. The operating margin for the quarter was 17.9%, up slightly from the year-ago margin.  Overall, our growth this quarter, as well as for each quarter this year, reflects the progress we continue to make on our key strategic initiatives. We continue to invest in and grow our revenue base, while tightly managing expenses to deliver attractive operating margins and cash flow. Now let me turn it back to Rick. 
Richard Smith: Thanks, Lee. Hopefully, you get the sense that we’re continuing to win in the marketplace. Our performance is broad-based across all business units and many product lines. Our unique data assets are truly a differentiator for us, allowing us to gain share, win customers and build new products rapidly. Our team is executing on our initiatives.  And as we go forward and look at the fourth quarter, I won’t expect any improvement in the economic landscape. But rather as we’ve shown over the last couple years, we will win due to internally generated momentum.  For the fourth quarter, we expect again another strong quarter, especially when you think about the grandfathering of IXI and Rapid Reporting and a slowdown in the mortgage refinancing in the U.S. business. And we expect revenue to be up 8% to 10% from a year ago. And adjusted EPS from continuing operations is expected to be somewhere between $0.58 and $0.61 a share. So operator, if you could open up the lines for some questions.
Operator: (Operator Instructions) We’ll go first to George Mihalos of Bank of America. 
George Mihalos – Bank of America: Hey, guys. Nice job on the quarter.
Richard Smith: Thank you.
George Mihalos – Bank of America: A couple of questions here. Just as you think of the mortgage business, are you guys winning share in that space on the tri-merge side relative to your competition? And how do you think about that from a grow-over standpoint looking out next year? 
Richard Smith: Great, great question. The answer’s yes. We’ve shown you now for a number of years that our team has outperformed the index. That has continued. Secondly, as you know, we invested in a new offering, I think it’s been 4 years ago, which is our Settlement Services. And that’s a very large fragmented market, and we continue to grow in that market environment. So when you think of mortgage, and I’ll get to grow-over in a second, when you think of mortgage, think about it this way. You had obviously some wind at the back with refinancing. But beyond that it’s taking share and its ESS continuing to grow. So it’s that kind of trifecta, if you will, that’s helping our mortgage business. As I think of year-on-year, what you’re not going to get next year, I don’t think, is the continuation of the refinancing. But we’ll continue to win on tri-merge. We’ll continue to win on ESS. And more importantly than even that, we’re going to continue to invest in other new products that have been launched this year which should give us nice growth in 2011. So I don’t view mortgage as an excuse for headwind overall for USIS or Equifax in 2011. 
George Mihalos – Bank of America: Okay, understood. And then just looking at the operating margin for the USCIS. I was a little bit surprised it didn’t go up a little bit more. Just kind of looking at it sequentially, you came in at about 37.2% given the top line growth. Can you kind of talk a little bit about the puts and takes that went into that, especially given the strong OCIS growth? 
Richard Smith: One, I look at it this way; think about the margin in USIS. First quarter, it was down significantly versus 2009, down again at second quarter; third quarter up 90 basis points is a doggone good performance year-on-year. And it’s trending in the right direction. And I would expect that leverage to continue as we go to the fourth quarter. So I’m proud of what they’ve done. At the same time, you’ve got to remember that the Mortgage business, while it’s a great growth engine for us, is not the same margins as our online business. That’s where you get the big lift. That’s a good margin. I think any business would love to have that margin. But when you compare it to the online, it was less. 
George Mihalos – Bank of America: Okay, thank you.
Operator:
Carter Malloy – Stephens Inc.: Hey, guys. Congratulations on the quarter.
Richard Smith: Thank you.
Carter Malloy – Stephens Inc.:
Richard Smith: Yes. I think it’s obviously the new products we’ve developed. And those continue to gain traction, as I’ve mentioned before which is good news. We’ve talked about in CMS, our credit marketing business; we had significant growth in the third quarter, which we expect to continue in pre-screen as well as in the portfolio management.
Carter Malloy – Stephens Inc.:
Richard Smith: Yes. Think about it this way. What we had, if you go back to 2005, ‘06, we had low CapEx because we’re not investing in NPI at the rate we are now. So you had years of, and Carter, I don’t have the exact numbers, maybe $50 million to $60 million of CapEx that are now rolling off, they’re grandfathering. And you’ve got higher CapEx years from 2007, ‘08 and ‘09; we’re investing $80 million to $100 million so we can invest in more new products. So that’s one impact. Number two is I think as Lee mentioned or I mentioned, we’re investing heavily internationally in key markets around the world to drive organic growth. And I think it’s important for us in the long term. So it’s those combinations of things that don’t allow maybe a significant step up in margin. But I’m convinced over time we’ll get that increase in margin. I told you that our goal long term is to get the margin up over 24 to 25%. And we’re going to head in that direction. You also had some noise, Carter, in the third quarter itself with some deal costs, some professional fees costs. We had to shore up our AIP, our incentive plan. We got some equity grants that will be more expensive for us in the fourth quarter than they were a year ago. So you got some unusual things, if you will, that also creates some headwind.
Carter Malloy – Stephens Inc.:
Lee Adrean:
Carter Malloy – Stephens Inc.:
Richard Smith: Investing in the countries we’re in, adding a lot more sales people, adding more marketing people, adding more TAS, Technology and Analytical Services people. Just reinvesting.
Carter Malloy – Stephens Inc.: Okay, thanks.
Richard Smith: Sure.
Operator:
Andrew Jeffrey – SunTrust Robinson Humphrey: Hey, guys. Thanks for taking my question.
Richard Smith: Yes.
Andrew Jeffrey – SunTrust Robinson Humphrey: Rick, obviously, you’ve made a lot of strategic moves both from an acquisitions standpoint and internal technology development and looks like they’re starting to pay off. The one thing I, as we look out to ‘11, I’d love to be able to understand and maybe quantify a little more is how much organic revenue growth, incremental revenue growth do you think you can get from the integration of some of the data you’ve bought, some of the analytics you’ve bought? Generally, the efforts to cross-sell your solutions, you’ve obviously had a lot of success on proprietary scores.
Richard Smith: Yes, that’s a good question. Let me answer it two ways. As I think about our model – I’m looking at the financial model because I’m not going to give guidance at this juncture for 2011. But think about our model, Andrew, and what we’ve talked about, which is, I think one, I don’t expect the economic landscape to be marginally better than 2010. At best, probably towards the back end of the year, we’ll see some improvement. So with that, I think our core growth will be in the low single-digit, 2% or 3%. And then I think on top of that, you’re going to get our strategic initiatives, which will give us 3% to 4% growth.
Andrew Jeffrey – SunTrust Robinson Humphrey: Okay.
Richard Smith:
Andrew Jeffrey – SunTrust Robinson Humphrey:
Richard Smith:
Andrew Jeffrey – SunTrust Robinson Humphrey: Okay. And you’ve bought a lot of proprietary data. To the extent that you can deliver 3 to 4% revenue growth from those data, that’s pretty impressive, and it would certainly be rationale to make more acquisitions.
Richard Smith: Yes, good question. I think its two areas. There’s still some data assets that we want to get our hands on. That we’ve been consistent in the last five years, that’s the core of who we are. So we continue to look at data assets around the world. There’s data assets in the U.S. I’m interested in, and there’s data assets in almost every country that we operate in outside the U.S. Secondly, in TAS, Technology and Analytical Solutions, there’s some great opportunities there. This Anakam deal, while it’s small, doing more deals like that, that build out a suite of analytical products where Rajib Roy and his team in test, is a big area focus for us as well.
Andrew Jeffrey – SunTrust Robinson Humphrey:
Richard Smith:
Andrew Jeffrey – SunTrust Robinson Humphrey:
Richard Smith: Absolutely. In areas like our debt income and enhancements income where we help banks understand risks and understand the ability to pay an obligation. Obviously, fraud’s a big area of focus for us as well. So yes, risk, its core to who we are and a growing area as well. 
Andrew Jeffrey – SunTrust Robinson Humphrey: Okay, thank you very much.
Richard Smith: Sure.
Operator:
Shlomo Rosenbaum – Stifel Nicolaus: Hi. Thank you very much for taking my questions.Rick, you’ve done a very good job of growing the revenue. And I just want to key in a little bit more about some of the questions that people have been asking. Specifically about the SG&A, can you just give us kind of the walk-through quarter-over-quarter, maybe this is for Lee, as to where the investments came in and where subsequently we should start to see some leverage down the line?
Richard Smith:
Lee Adrean: I mean, in general, in SG&A, as Rick mentioned, we are expanding our sales forces particularly in some of the international geographies. We have expanded some of our marketing activities associated with new product innovation, product development and just market examination as we are working to drive more of the organic growth that Rick was just talking about. In terms of some of the onetime, but I’m not even sure I’d call it onetime, but we did have a step up compared to year-over-year in terms of deal costs of about $1 million primarily related to Anakam. But we’ll have step-ups that will tend to come in periodic pieces. We’re always looking at acquisition opportunities as a way to complement what we’re doing in our strategy. So you’ll see a little bit of fluctuation in that particular piece. Deal costs will tend to show up on the corporate line.
Shlomo Rosenbaum – Stifel Nicolaus:
Richard Smith: We talk about mortgage in total, across all of our entities, as a percentage of total revenue. And it ebbs and flows, as you know, over the years to different rates. Think about it as being in the teens right now and that could be 17%, for example, this quarter. But it will ebb and flow from low teens to high teens. We expect to continue to gain share in ESS. We continue to outperform the index in the tri-merge as well.
Shlomo Rosenbaum – Stifel Nicolaus:
Richard Smith:
Shlomo Rosenbaum – Stifel Nicolaus:
Richard Smith: We don’t break that out.
Shlomo Rosenbaum – Stifel Nicolaus: Okay.
Richard Smith: But it’s a – think of it this way, we built it back in, in 2007. And it was nothing then. And it’s going to be a nice sized business. And I’d mention, when we first launched it, I expect that business to be a $100 million at some point of time in the future. 
Shlomo Rosenbaum – Stifel Nicolaus: Right. Great. Thank you very much.
Operator:
David Lewis – JPMorgan:
Richard Smith: Sure. Let me think about it this way. What you’re hear from the banks now is, obviously, we mentioned this I think in the second quarter, is the desire to get back out there and start growing their credit card portfolios cautiously. And when I say cautiously, leveraging some of our data assets that are unique, our debt-to-income assets make sure they’re targeting the right clients. So they’re getting their feet back in the water. You saw it with pre-screen up 14% in the quarter versus, I think, it was 6% in the second quarter, so sequentially accelerating growth from pre-screen, which is obviously a good indicator. We’re winning across all the different product lines there, again, TALX, IXI and the core credit file.
David Lewis – JPMorgan:
Richard Smith: It’s significant. I mean one benefactor of the active file increasing is a stability and an improvement in unemployment because obviously as unemployment rose, you went from active to inactive because you’re unemployed. So that’s one thing.
David Lewis – JPMorgan:
Richard Smith: I gave you the forecast over; I forgot the heck it was. I thought I said it was at least 10% growth for USIS in the fourth quarter. 
David Lewis – JPMorgan: Great. Thank you.
Richard Smith: Sure.
Operator:
Daniel Perlin – RBC Capital Markets:
Lee Adrean: Down 7 or 8% in the second quarter. It was down 1% from the prior year in the third quarter.
Daniel Perlin – RBC Capital Markets: Got it.
Lee Adrean:
Daniel Perlin – RBC Capital Markets: Right. But transactions look like from second, third quarter last year were about the same. So that’s a pretty meaningful pickup, it looks like sequentially.
Richard Smith:
Daniel Perlin – RBC Capital Markets:
Richard Smith:
Daniel Perlin – RBC Capital Markets:
Richard Smith:
Daniel Perlin – RBC Capital Markets:
Richard Smith:
Daniel Perlin – RBC Capital Markets:
Richard Smith: That’s a very interesting question. Let me tackle then one by one. On the vitality, we’re there now. We have reached our 10% vitality in 2010, which I’m extremely proud of. And we’re re-base lining that and setting new targets now for the next three years, which obviously will go up. As far as the growth rate of the core versus the NPI, think about the model I just described I think it was to Andrew. If you think of the core business as growing a couple of percent, you get the total business growing 6% to 9%. Take out one or two points of M&A for the delta, which is three or four points, is with our strategic initiatives, which is largely NPI. So you’re taking a maybe a 2% growth business and making it a 5% growth, if you will, through NPI.
Daniel Perlin – RBC Capital Markets: Got it.
Richard Smith:
Daniel Perlin – RBC Capital Markets: Well, I was just thinking about that in the same context of how much you’ve kind of permanently lost. I mean there’s a certain percentage of your revenue that will never come back because of kind of subprime applications. And I think Lee has indicated in the past that it was maybe somewhere around 25% or so of USCIS.
Richard Smith: Think about it this way. Think about in the context of the financial model we’ve been trying to describe to you. I don’t think we’re going to go back to the days of consumer spending or consumer lending that we had back in the 2001 to 2005 era. Having said that, you should count on us building a sustainable business model that grows 6 to 9% with organic and a little bit of inorganic, and then some margin expansion beyond that through productivity. 
Daniel Perlin – RBC Capital Markets: Great. Thank you very much.
Richard Smith: Sure.
Operator:
Jaime Brandwood – UBS: Good morning. Thanks for taking my questions. I just wanted to start by asking about online consumer information solutions. I think you specifically gave us the quarter-on-quarter transaction volume increase as being 7%.
Richard Smith: Yes. The first part Lee jumped into, the first part of your question on the online. Yes, obviously, mortgage is reflected in online. But we saw kind of a broad-based performance on online, not just mortgage. Secondly, your question on pre-screen, it’s hard to predict. What we saw, though, is sequentially a pick-up in third quarter, a very substantial impact in fact, in third quarter pre-screen versus the second quarter. Again, it went from 6% to 14%.
Jaime Brandwood – UBS: Yes, yes.
Richard Smith:
Jaime Brandwood – UBS:
Richard Smith: Yes, I don’t have that number. I could do some math for and you get back to you. But it’s really as broad-based. Don’t think about it as 50-50.
Jaime Brandwood – UBS: Yes.
Richard Smith: If you want, get back with Jeff offline.
Jaime Brandwood – UBS: Yes, no problem.
Richard Smith:
Jaime Brandwood – UBS:
Richard Smith:
Jaime Brandwood – UBS:
Richard Smith: Sure, a couple of us. We have a new International leader, as you probably recall, who is Brazilian, Paulino Barros.
Jaime Brandwood – UBS: Yes.
Richard Smith: So, he’s very active in Brazil. We’ve hired a great seasoned Brazilian leader to run our operation down there, and who probably is known now for a number of years, and that will make a huge difference in Brazil. One of the countries that, when I was alluding to investing internationally, one of the countries we’re investing heavily in is Brazil to drive organic growth.
Jaime Brandwood – UBS:
Richard Smith: We don’t break that out. 
Jaime Brandwood – UBS: Okay, thanks very much anyway. Thank you.
Richard Smith: Sure, thank you.
Operator:
William Warmington – Raymond James: Good morning and congratulations on a very strong quarter.
Richard Smith: Thanks, Bill.
William Warmington – Raymond James:
Richard Smith: We have not.
William Warmington – Raymond James: Okay.
Richard Smith:
William Warmington – Raymond James:
Richard Smith: Obviously, it is helping them find the right kind of clients to underwrite, accept as risks, versus those that are not. Secondly, is to help in an area that already have risks, how do we help them manage those portfolios more effectively. So our whole story’s been about building those unique databases that no one else has to help banks solve problems today that they couldn’t solve yesterday. There’s plenty of opportunity. 
William Warmington – Raymond James: Okay. All right, thank you.
Richard Smith: Thank you.
Jeffrey Dodge:
Operator: And that does conclude today’s conference. Thank you for your participation.